Operator: Greetings, and welcome to The Container Store Second Quarter 2016 Earnings Conference Call. At this time all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host today, Ms. Anne Rakunas at ICR. Please go ahead, ma'am.
Anne Rakunas: Good afternoon, everyone, and thanks for joining us today for The Container Store's second quarter 2016 earnings results conference call. Speaking today are Melissa Reiff, Chief Executive Officer; and Jodi Taylor, Chief Financial and Administrative Officer. After Melissa and Jodi have made their formal remarks, we'll open the call to questions. Before we begin, I need to remind you that certain comments made during this recording may constitute forward-looking statements that are made pursuant to and within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements are subject to both known and unknown risks and uncertainties that could cause actual results to differ materially from such statements. These are referred also in The Container Store's press release issued today. The forward-looking statements made today are as of the date of this call and The Container Store does not undertake any obligations to update the forward-looking statements. Finally, the speakers may refer to certain adjusted or non-GAAP financial measures on this call. A reconciliation scheduled showing the GAAP versus non-GAAP financial measures is available in The Container Store's press release issued today. If you do not have a copy of today's press release, you may obtain one by visiting the Investor Relations page of the website at containerstore.com. I will now turn the call over to Melissa. Melissa?
Melissa Reiff: Thank you, Anne, and good afternoon everyone and thank you for being on the call today. In my remarks I will provide a brief overview of our second quarter financial results as well as review the performance of our key initiatives and the progress we have made on the objectives we set out at the beginning of fiscal 2016. I will then turn it over to Jodi to review our financial results in more detail and comment on our annual outlook for fiscal 2016. Before turning to the highlights of our financial results for the second quarter, I'd like to remind everyone that we're sharing results of the 13-week quarter that ended October 1, 2016 under our new fiscal year. We are pleased with our bottom line performance for fiscal Q2 despite disappointing sales. As discussed on last quarter's call, sales were challenging at the beginning of Q2 and this trend persisted through August when we retreated from some promotional activity from August of last year. Sales trends have then improved considerably in the month of September as we now have more comparable alignment of year over year marketing and merchandising campaigns. And we are pleased that sales trends in our third quarter to-date are much improved from our results in Q 2. So we are cautiously optimistic about the second half of our fiscal year and have a strategic marketing and merchandising plan in place to drive profitable and improved sales trends compared to the first half of fiscal 2016. Consolidated net sales for the second quarter of fiscal 2016 were 205.1 million, up 0.3% compared to the prior-year period. Comp store sales declined 4.2% compared to the second quarter last year that ended October 3, 2015. Our commitment to our SG&A savings program and increased efficiencies resulted in a 40 basis point improvement in our SG&A rate and we delivered earnings of $0.07 per share this quarter despite our challenging comp store sales. Regarding TCS Closets and Elfa, and our goal of closet domination, sales for both Elfa and TCS Closets remained good during our second quarter. In September, we had our annual shelving sale and customers responded well driving strength in the Elfa performance at the Container Store. And TCS Closets specifically contributed 200 basis points to our overall comp in this quarter. We are pleased with the traction we are gaining with TCS Closets. And the average ticket for TCS Closets remain strong at approximately $10,000. And during the second quarter, we did see a notable increase in the number of TCS Closet sold per store per week. We continue to deploy marketing support both online and via other marketing channels in support of TCS Closet and closet domination. We are reallocating a portion of our marketing spend accordingly in order to communicate about this differentiated product offering and related services to new and existing customers. And a response to customers’ request, we have launched an updated lighting package for TCS Closets as well as now giving our customers the option to not have pre-drilled holes visible in the vertical panels of their solution. Based on the number of customer requests for these options, we believe these new enhancements will be well received. And in early September, we also launched an enhanced TCS Closets online experience, the first of many iterations and improvements to our online custom closet experience. If you get a moment, I'd love for you to check it out. The new site better reflects the high-quality of our offering as well our differentiated service from space design to installation and organizing services offered by our contained home organizers. Since the site’s launch, we've seen an uptick in customers initiating and engagement with a TCS Closet design process online including an increase in customers interested in our in-home service for their TCS Closet solutions. We're also using new technology to enhance our TCS Closet design and sales process including our TCS Closets design tool that we believe will enable us to materially shorten the time frame to develop a customer's custom closet design. It will also allow for easier and more efficient sharing of designs with customers. Our utilization of sales force has provided us with a more efficient way to manage TCS Closet sales from initial customer inquiry through the installation of the solution. As we continue through our first year of TCS Closet being available in all of our stores, we are still learning the seasonality of this new product offering. Based on our experience in the holiday quarter last year, we expect some seasonal moderation in TCS Closet sales in fiscal Q3 until after the holiday period. We will continue to refine and improve TCS Closets and its related customer experience and believe we are well positioned to build upon the early success of this differentiated product and service offering. Also related to our focus on closet domination and our efforts to continually improve our product offering to bring even more choices to our customers, we will pilot Elfa sliding doors in our two Manhattan stores beginning this month. Elfa sliding doors are custom designed to the customer's specifications and will come in a variety of designs and finishes. Without the sliding doors for example, you can create a closet within a room that provides wall to wall enclosed storage, custom sized to your space. So you can see how these sliding doors have great potential in the New York market by creating storage and room to buyers [ph] where there may not currently exist or one may not currently exist within a living space. Because it's a completely custom product, the pricing will depend on design but we expect it to be a high average ticket starting around $2,000 or more. Elfa have sold this high quality of solution in Europe for decades with great success and we're excited that we will offer the Elfa sliding door exclusively here in the United States at the Container Store. And I do hope all of you have a chance to stop by one of our Manhattan stores to see the sliding doors for yourself. As you may recall, we launched our customer financing program in July with Synchrony Financial. While still in its infancy, we're pleased with the results we’re experiencing and the early acceptance of this financing program by our customers. Our current financing offers have been crafted to promote higher than average spend specifically for custom closets. Early results show that financed Elfa purchases over $500 have a much higher average ticket than non-financed Elfa purchases. In addition to customers financing Elfa purchases, they are also using the TCS credit card to purchase TCS Closets and other products. And now just a little bit more about our online store. In addition to our new TCS Closets online experience, we also launched the my-organized-life gallery in June. This gallery allows customers to post photos of their own organization solutions resulting in a curated user generated shoppable tool for customers to get even more inspiration and new ideas for organizing. We've seen an increase in time spent on our site and an increase in conversion with customers who engage with the gallery. And our newly designed products page is more mobile friendly than before making it easier for the customer to check out on a mobile device resulting in increased mobile traffic conversions in Q2. The product is larger in size on the page than it was before and the add-to carton button is higher up on the page. The purchase options such as ship, click and pick up or click and deliver are much more prominent allowing the customer to more easily shop how she wants to shop. Also during the second quarter, we built a media mix model to better understand the impact of media spend on our sales. The model provides insights into the performance of our paid media channels. Additionally, it recommended how to reallocate paid media spend across different channels to maximize the impact on our sales. We're currently in the process of testing some of the initial recommendations from the media mix model and are eager to understand the outcomes in the coming quarters. With regards to our new stores, we opened two new stores in the second quarter, one in Palm Beach Gardens, Florida and one in Troy, Michigan. In the third quarter to date, we have also opened stores in Pittsburgh, Pennsylvania and Omaha, Nebraska. We've been pleased with the sales performance of these new stores opened so far in fiscal 2016. Finally, we've added two additional locations one in Baybrook, Texas that opens this coming weekend and one in Des Moines, Iowa that opens next weekend for total of four new stores in third quarter and seven new stores in fiscal 2016. The relocation of our Chestnut Hill, Massachusetts store will now take place in the first half of fiscal 2017. As part of our continued efforts to evolve our in-store environment all new stores beginning with our new Baybrook store will feature an updated layout that expands the custom closets area of the store and includes a new merchandising presentation for long-term storage solutions. Also in our storage, we have been actively seeking always to operate more efficiently. This includes utilizing our new [indiscernible] technology to enhance in-store communication and reduced payroll. We are also reevaluating store hours using traffic and sales information particularly around extended holiday hours. We're testing the utilization of a third-party for assistance with our merchandise processing in our stores and for new stores; we have realized numerous efficiencies in operations and training. And our stores in west side are now dressed for the holidays featuring the Container Store and the one of a kind Gift Wrap Wonderland and stocking stuffer collection. We hosted many of our best customers at in-store Gift Wrap Wonderland preview events late last month and we will be holding free gift wrap and bow demonstrations each weekend throughout the holiday. Are always highly anticipated stocking stuffer catalog will be arriving in customer's mailboxes this week. It will be followed by other marketing throughout the holiday season. In closing, I want to reiterate that we are pleased with what we delivered from an earnings standpoint in Q2 but acknowledge there is still work to be done in driving topline sales. This quarter's comp store sales were not acceptable to us and we are committed to their improvement. We are capitalizing upon our key strengths and focusing on what differentiates us in the market place. Our focus on custom closets continue to drive sales with TCS closets contributing meaningfully to our results. And our efforts to manage expenses and increase efficiencies throughout our organization are improving our profitability. While the current retail environment ranges challenging and our sales trends are not consistently positive, volatility does continue, we are making progress on many fronts. As we continue to innovate and test and learn we will be guided by the evolving preferences of our customers and will make appropriate changes and adjustments as needed. We see some encouraging signs that make us cautiously optimistic as we head into the second half of the year. And with that I’ll ask Jodi to please review our financial results and outlook in more detail.
Jodi Taylor: Thank you, Melissa, and good afternoon everyone. Today I'll be reviewing our second quarter fiscal 2016 results and then discussing our outlook for the reminder of the year. In light of the company’s fiscal year change, all references to prior year results are based on the recapped second quarter ended October 30, 2015. As Melissa shared, for the three months ended October 1, 2016, our consolidated net sales were 205.1 million, up 0.3% compared to the prior year period. Sales for the Container Store retail business were up 0.9% to 189.1 million primarily due to new store sales. Our second quarter comp was down 4.2%. TCS Closets continues to contribute to our comp store sales contributing 200 basis points to our second quarter. As Melissa mentioned, it was a challenging start to the quarter in July with those trends persisting into August before we saw an improvement in the month of September. We ended the second quarter with 82 stores in approximately 2 million of growth square footage as compared to 75 stores and approximately 1.9 million of growth square footage at the end of the recap second quarter fiscal 2015. Now turning to Elfa International AB, Elfa’s the third party net sales were down 5.5% in Swedish krona compared to the prior-year period, primarily due to lower sales in Russia and the Nordic market. This was further affected by the negative impact of foreign currency translation in the quarter as the krona weakened against the US dollar. During the second quarter of 2016 on average, the Swedish krona declined approximately 0.5% year over year against the US dollar. As a result, Elfa’s third party net sales in US dollars declined approximately 6%. Moving on to profitability, in the second quarter, consolidated gross profit dollars were relatively flat at 118.4 million. Consolidated gross margin declined 20 basis points compared to the prior-year period. Gross margin at the Container Store retail business was down 10 basis points, reflecting a larger mix of lower margin products and services that partially offset by the impact of a stronger US dollar. As we’ve discussed, gross margin at TCS is impacted by prior SEK exchange rates obtained to purchase Elfa products for TCS. Elfa gross margin remained consistent with the prior-year period. Moving on to SG&A, as a percentage of sales, consolidated SG&A decreased 40 basis points to 46.6% in the second quarter of fiscal 2016 as compared to the prior-year period, primarily due to cost efficiencies associated with our SG&A savings program as well as foreign currency exchange rates. This was partially offset by de-leverage of occupancy costs associated with our comps for sales decline. Moving to our pre-opening expenses, decreased by approximately 1 million to 2.5 million in the second quarter as we opened two stores in the current year period compared to three store openings and one store relocation in the prior-year quarter. As a result, pre-opening expenses leveraged by 50 basis points year-over-year. Our net interest expense in the second quarter of fiscal 2016 was 4.2 million in line with the prior-year period. The effective tax rate for the quarter was 41.6% compared to 41.1% in the recapped second quarter of last year. The increase in the effective tax rate is primarily due to a shift in the mix of domestic and foreign earnings. Our net income for the quarter was 3.5 million or $0.07 per diluted share as compared to net income of 3.3 million or $0.07 per diluted share in the recapped second quarter of last year. Now turning to our balance sheet, we ended the quarter with 9.3 million in cash, 333 million in outstanding borrowings, net of deferred financing costs, which was down approximately 19.5 million from the same time period last year and combined availability on revolving credit facilities and cash on hand of approximately 98.8 million. We ended the quarter with inventory approximately in line with the prior-year period, reflecting ongoing efficient handling of inventory. With regards to our outlook for fiscal 2016, factoring in our first half result as well as our expectations for the remainder of the fiscal year, we are lowering our sales expectations for the full year. We now expect consolidated net sales to between 820 million and 830 million. Our comp store sales outlook is now expected to be down 1.5% to down 3%. We're very pleased to be able to maintain our full-year EPS outlook of between $0.20 and $0.30 which reflects the significant work we have accomplished on the SG&A side. This EPS range is based on a weighted average of 49 million diluted shares outstanding. While we have a number of activities and programs in place that we're optimistic will have a positive impact to sales. In order to make sure that we currently manage the business in a conservative and thoughtful manner, we've been prudent as we look at sales and expenses for the remainder of 2016. We continue to expect TCS and consolidated operating margin to improve based primarily on the significant SG&A savings program that we had implemented. We expect our tax rate for the full fiscal year 2016 to be approximately 39% and our annual interest expense at today's LIBOR rates to be approximately 17 million. We continue to forecast our fiscal 2016 consolidate gross margins to be relatively flat year over year. On the FX front, we continue to expect minimal impact to gross margins based on current US dollar SEK purchase levels. As expected, we experienced a slight FX benefit to gross margin in the first half of the year. For the second half of the fiscal year, we have SEK contracts in place for nearly all our purchase needs at a US dollar rate comparable to the level of the prior year. In light of non-FX purchase rates, as well as expectations of a comparable promotional environment year over year, we expect relatively flat rate gross margin in the second half of the year. In terms of SG&A expenses, we are very pleased with the results of our SG&A saving program and continue to expect these cost savings to become more impactful as the fiscal year progresses. The success of this initiative is a key reason we were able to reiterate our full-year EPS outlook. Now looking to fiscal Q3, which ends on December 31, while we’ve seen improved sales trends at TCS beginning with fiscal September and continuing early into Q3, it's important to remember that fiscal December could be a challenging sales month as compared to last year. That's because our annual Elfa sale begins before the Christmas holiday and Christmas Eve and Christmas Day fall on Saturday and Sunday this year followed by a third quarter ending on Saturday, December 31, which is New Year's Eve. The holidays falling on weekend days right at the beginning of the annual Elfa sale may shift more Elfa sales into Q4 than it’s typical. And finally, we expect to deliver operating margin expansion in the second half driven by meaningful SG&A leverage resulting from our SG&A saving program. So in summary, while there is still work to be done to improve topline performance, we are pleased with the bottom line results we delivered in fiscal Q2. We're focused on delivering the second half and developing our longer term plans and priorities. Thank you. Now I'd like to turn the call back over to the operator so that we can open the lines up for questions. Matt?
Operator: [Operator Instructions] Our first question comes from Chris Horvers from J.P. Morgan. Please go ahead.
Chris Horvers: So I wanted to ask a couple questions on sales trends. So can you maybe quantify how much improvement that you saw in September and what's the interpretation around October, did October continue to prove sequentially off that September level or is it October and September look relatively similar.
Melissa Reiff: As we discussed on our call last quarter, the Q2 sales started out challenging and then our - those trends persisted through August when we retreated from that promotional activity that I talked about in the script. And so what’s really unclear why, but we were very pleased to see the improved sales trends Q3 to-date and we continue to see the day to day volatility which is why we've comped the way we have for the year but they did considerably improve in the month of September and we're pleased to see that continues so far into October.
Chris Horvers: And so is it still less negative or you turning positive?
Melissa Reiff: Chris, it really depends on the day, but it's definitely a significant improvement in trend of where we were in Q2.
Chris Horvers: And then based on how you describe the guidance, Jodi, it sounds like you're implying that you're putting some extra prudence in the fourth quarter. So, is the right interpretation whatever we think Q3 ends up being Q4 is probably lower from there given how the Elfa sales might shift into 1Q or into the first calendar quarter?
Jodi Taylor: Actually Chris what I indicated is that the Elfa sales - since the Elfa sales starts the end of Q3, we think it's possible because of how the holiday calendar falls this year that we could see more of a shift of that starting period into Q4 then is typical. So, more of a shift between Q3 and Q4 versus Q1.
Chris Horvers: Yeah, yeah, I confused the year-end timing similar to March. Totally understood. So my last question is, if I look at sort of your comps ex the TCS Closet lift that trend had deteriorated over the past few quarters. Given that seasonality of the business because it sounds like that business recedes as you look at your third fiscal quarter here, are you implying that the underlying business therefore is going to comp better as you look at this quarter?
Jodi Taylor: Chris, I’ll start and Melissa you can add like you know we do expect that the rest of the business sequentially is - it has improved in September and October and we expect that to continue as we continue to go through the rest of the year as compared to what we experienced specially in July and August.
Operator: Our next question is from Seth Sigman from Credit Suisse. Please go ahead.
Seth Sigman: Thanks. Good afternoon, guys. So I wanted to dig into the closets business and how that’s progressing here. I think you talked about a noticeable increase in closets sold per week. It seems to coincide with the overall business improving also over the last couple of months, but I guess how do you think about the drivers of that increase in productivity between kind of the operational drivers and the selling improvements with also the environment improving?
Melissa Reiff: Yeah. We are pleased, as I said Seth, with the progress we've made and the traction we're seeing with TCS closets and as you know, it's our number one priority as a company. And the contribution of TCS closet to the comp is going to vary from quarter-to-quarter, but then the aggregate sales generated, it's absolutely increasing every month on a year-over-year basis and we're seeing it increase per store per week. And there's several variables that are really driving that. We are testing our new design tool, which is really going to impact a lot the process for the customer, make it tighter and shorter in a better experience. And then just operationally, we are continuing with our training to make sure that all of our employees understand how to sell TCS closets, albeit we have kind of a core team in each store that are specific designers of the closets and work specifically with the customers. So we're very bullish about it and very optimistic about it and I'm anxious for our design tool to get rolled out to all stores after we test it.
Seth Sigman: And the financing rollout, was that a component of driving the improvement also, can you give us a sense of maybe what percent of the transactions are using that financing today?
Jodi Taylor: Yeah. The financing as I said, well, it’s in infancy. We really are still pleased with what we're experiencing and definitely we know that is contributing to custom closet sales as I said in my remarks that the elfa results really show that when you compare that to finance to elfa purchases versus non, we're seeing a much higher average ticket. So, it’s just another program that is contributing to some of the positive results that we have and it's a major focus for our company and we're going to continue to support it accordingly with marketing and training resources, so that we can drive incremental spend going forward.
Seth Sigman: Okay. That's great. And then just one follow-up question, as we think about the TCS pricing strategy and ultimately how the value proposition evolves, this quarter, retail margins were down just 10 basis points. It sounds like you have some cushion from FX there. How do you think about balancing the gross margin rate with maybe getting a little bit more promotional to drive comps, which were obviously down 4% this quarter? I mean, how do you think about effective balance.
Jodi Taylor: Yeah. Pricing, as you know, we do retain competitive pricing analysis and on like items match for match, we are competitive. I don't think we get near as much credit as we should for that, but it's a balance. I mean, we're always looking at our pricing, we want to make sure that we are competitive and we still want to continue of course to offer differentiated many times proprietary high quality design, high functional products. So we're going to continue to evaluate the range of our price points for the products that we offer.
Operator: Our next question is from Simeon Gutman from Morgan Stanley. Please go ahead.
Simeon Gutman: Thanks. I want to focus first on SG&A, sort of a multipart question on it. First, can you remind us, Melissa or Jodi, the elements of the cost cuts and then how far removed are they from the store level and or the cost. Also part of it is, I think you suggested that they ramped that there are the effect of them continue to ramp as the rest of the year goes on, but where are we in the cadence of reaching their biggest benefit or their peak?
Jodi Taylor: Hi, Simeon. It’s Jodi. I'll go ahead and get that answered for you. Let me first just start with the elements of the cost cuts and as - first of all, we're very pleased with the progress that we've seen on our SG&A savings program. We're achieving everything we set out to and more so far and as we had outlined earlier in the year, we expected to realize many millions of dollars of expense savings really throughout all areas of our business, including elfa. But the largest category is not surprisingly because it's our largest expense bucket fall in the payroll and benefits related expenses. To your question about how far from the customer, we are definitely making sure that it is not the sales for coverage that is being cut. In fact, we're trying as much as we can to improve efficiencies throughout the business, including specifically in the stores through efficiencies, so that we can even allocate more to peak hours on the sales floor. So it's really been a focus on looking at how we optimize scheduling, how we improve efficiencies, renegotiating cutting costs throughout the entire P&L, not filling open positions as appropriate. And it's just a myriad of areas that have impacted us that we're trying to make sure we’re doing it in a smart and strategic way, so that we are in no way hurting sales for coverage in our stores. And of course the result of this we expect to be able to have meaningful leverage in our SG&A expenses, even with our conservative sales assumptions and also expect that the benefit of these expense saving will roll into fiscal 2017 as well.
Simeon Gutman: So I guess, have they reached their peak as far as the quarter-to-quarter impact or are they still ramping, meaning there's more things that are being taken out, you're becoming more efficient?
Jodi Taylor: They're still ramping, as we had anticipated at the beginning of the year, some of the areas will continue to grow in their impact to the company as the year progresses, which is really one of the key reasons why we've been able to affirm our EPS outlook despite a challenging sales environment out there.
Simeon Gutman: Okay. And then a follow-up on I guess the comments about quarter-to-date, first, can you share with us how broad based is it geographically and traffic is getting better, are we seeing retail traffic improve and then anything that you can discuss among TCS closets versus other categories, because it stands out right now in a pretty tricky retail environment, so any other color would be helpful?
Melissa Reiff: Yeah. It really is broad based across geographically. It really is. Traffic is still challenging for us and I think for all retailers. TCS closets, as I said in my remarks, continues to improve and we are - we have programs in place for Q3 and Q4 that we think will drive profitable sales going forward and we're looking at all aspects of our business, every single aspect of our business and testing and learning. One thing that we're doing that we're very excited about is the test with the Albuquerque store, which is a new format. Looking at that assortment and the all categories will be represented, but they could be less in depth. So yeah, it's pretty broad based, so I mean it really is.
Operator: Our next question is from Steven Forbes from Guggenheim. Please go ahead.
Steven Forbes: Good afternoon. With Baybrook set to open this weekend, I believe you briefly mentioned in the prepared remarks, but can you expand on some of the new merchandising initiatives and space allocation changes that will be implemented in this location? I mean just try to get an understanding of how significant they really are?
Melissa Reiff: Yeah. It opens this Saturday and the custom closet section of the store has been expanded. I have not been there, I’ve seen pictures, Steven and it really looks absolutely beautiful as well as we’ve expanded for longer-term storage. And this will be - this is the new Baybrook store, and then going forward, all stores will have something very similar to this, the expansion of a custom closet because that is our number one priority and we will continue to be leveraging that in every way we can.
Steven Forbes: With that said, what categories in essence are you reducing the space allocation in the box. Assuming that this store is not the smaller format store that you're opening in Albuquerque.
Melissa Reiff: Right. Yeah, it's not the smaller format, but we’ve reduced some and get packaging and box and we've also made some changes to our kitchen section and we're going to again continue to evaluate that to make it even more exciting and compelling place for our customers to shop and buy.
Steven Forbes: And then as a follow-up, can you expand on your marketing plans as we head into the holiday selling season, I know again you briefly talked about the reallocation towards TCS closets, which obviously is the focus, but do you think - how do you think about the appropriate spend rate as a percentage of sales and the various outlets where you can allocate those expenditures?
Melissa Reiff: Yeah, absolutely. Well, as you know, we're a marketing merchandising company and we - our marketing plan for Q3 and Q4 will support our Gift Wrap Wonderland and it will support our elfa sale, it will support TCS closets and we are also seeing as I said in my remarks, a shift to more digital. We have a pretty healthy marketing spend as a percent of revenue and we feel like that is very, very, very important and then we're also looking at different things that we want to do in-store and this media mix model that I mentioned, again, we’re just now testing it, but we really feel like that's going to help us even better maximize our marketing spend. So we feel good about Q3 and Q4 and the additional things that we're going to have, that we have in place to drive profitable sales.
Jodi Taylor: But Steven, we’re not increasing the allocation of dollars, not just reallocating within the dollars we had intended to spend.
Steven Forbes: So marketing spend is not a driver of the cost savings that you’re experiencing?
Melissa Reiff: That is correct.
Operator: Our next question is from Matt Fassler from Goldman Sachs. Please go ahead.
Matt Fassler: Thanks a lot. Good afternoon. My first question relates to some of your comments just about getting promotions aligned as the quarter progress. If you can just give us a little more maybe a reminder on the differences in timing and just to be clear, as you saw the business slowdown initially over the summer, because you change the promotional cadence from what you may have originally anticipated and if so did that persist? Is that persisting through the current quarter?
Jodi Taylor: Yeah. I can start. As far as the - what happened as the quarter aligned and sort of where the - where we got back aligned in September, we were in a mode where pop was really starting to grow a lot last year and did a lot of testimonial activities in the early period, which now in our recast financials is July and August, particularly in August. And we made - we learned, I mean, that’s the whole point of doing that, and in some cases, we saw some things that we had done that we really didn’t feel made sense form a profitability perspective. So we retreated from those and we're willing to look at it more holistically in terms of what we can do from a profitability perspective. It did put some pressure on the top line, but ultimately we think was strategically the right thing for us to do.
Melissa Reiff: And then going forward, Matt, the cadence, the [indiscernible] there are some changes in timing a little bit there, but the cadence is basically the same and then we've layered on additional strategic and thoughtful activities for Q3 and Q4.
Matt Fassler: And was some of that responsive to the change in the kids, the business, the slow down just over the summer, was that the original, in the original plan?
Jodi Taylor: The additional actions for Q3 and Q4 drivers was something that we were absolutely planning earlier in the year and have just continued as business is something we have to react to here. to augment, but Melissa may want to outline just a few more of those areas that we're focused on in the second half of the year to a point about layering in where it’s strategically smart and we kill confident profitable.
Melissa Reiff: Exactly. I think as you know Matt, you may know, we have about 4.2 million pop stars now and continue to enroll about 25,000 a week. So for example, we're going to be testing a different timeframe for deploying the perks our pop stars earn as part of the earn and burn and spend and get aspect to the pop program. So we're going to be testing that. We're also going to be testing some incentives around TCS closet purchases and also opportunities that we think we have connected to or we know we have connected to our third-party credit card partners. We're also going to be hosting more in-store events and really taking actions as I said to leverage what we've learned from the media mix model. So again, it's doing this and more while always being staying focused on building even greater success with average ticket, which is one of our biggest differentiators because our average ticket in Q2 was quite good.
Matt Fassler: And I find that most of your comments on pop has dissipated most of my follow-up questions, because on the loyalty effort, but it’s a safety standard, it’s had a consistent impact on the business as you've made it right through the year.
Melissa Reiff: Yes, it is. It really is. I mean, we're continually testing and learning to understand what most effectively really resonates with our pop stars, because we want to obviously drive incremental traffic and sales and so we're continuing to dig into that, but they still represent, Matt, among our most loyal customers and you know again their average ticket remains above the company average ticket.
Operator: Our next question comes from Daniel Binder from Jefferies. Please go ahead.
Daniel Binder: Thanks. It’s Dan Binder. With regard to the TCS closet contribution in the back half, relative to that two point contribution it made in the latest quarter, what would you expect that contribution to look like based on what you know today and your guidance?
Jodi Taylor: [indiscernible] where we think that exact comp number is going to go, but I think Melissa you did say in your remarks that last year, what we saw, of course we didn't have it in all stores at that point, not all stores rolled out until December of 2015, but with stores that were in place at that point, we did see a bit of a slowdown when we were in the fiscal third quarter period, which covered the holiday.
Melissa Reiff: Because of the seasonality of TCS closets, but that could change this year. We don't know. It did contribute like you said quite a bit to Q2. So we're anticipating that that will continue.
Daniel Binder: It sounds like you've had some learnings in that business with enhancements to the product that you mentioned, lighting, you drilled holes and like that. I'm just curious what was the biggest learnings you've had based on customer feedback with the product so far, I mean, you still have fairly big average tickets. What are you finding with the competition in the space? Do you think the product is priced right, things of that nature, any color you can share, that would be great?
Melissa Reiff: You bet, Dan. Closet domination, we talk about it over and over and over again and it is a goal that we want to dominate the closet industry and we feel like the TCS closets is priced right. And we have elfa, as you know, we have elfa decor and we are always looking to further expand those kind of custom closet options for our customers. We’re listening to them. We are reading surveys. Our buyers and Sharon are continuing to work with our partner on that to expand TCS closets to more parts of the home. As I said, we're expanding the Baybrook store and we'll do that with new stores going forward and possibly in the future even retrofitting. So if we really want, and I also mentioned the improved experience online for our customers, so the design tool is going to make a big difference as well. We want to tighten that design turnaround for every single customer experience and make it the best possible. So we've learned a lot and we continue to learn every day and we’re going to listen and learn and test and add new things and again closet domination, that's what we’re - our number one priority.
Daniel Binder: And just two more items, with regard to the SG&A, I mean, you're well on your way. Do you have a better sense of what the total savings is going to look like and what the flow through will be. Is it nearly 100% of what you cut or is there a requirement to reinvest some of that.
Melissa Reiff: It's over 2 years, it's over fiscal ‘16 and ‘17. But go ahead, Jodi.
Jodi Taylor: Absolutely. We feel confident that we will have meaningful leverage to our expenses even with our sales outlook that we have provided today. So it is absolutely something that by the end of the year, we're confident we're going to be able to say, we said many, many millions of dollars that we otherwise would have spent have we not taken these actions. We know that just in, payroll, it will be at least $5 million and more. That number is growing as we continue to find optimization opportunities. And then as I noted, really just throughout the entire P&L, there's categories that we're saving through our efforts here to just be more efficient. So we're confident that we'll be bringing that to the bottom line in terms of reinvesting. We're being very smart about where we choose to do that primarily, where we've chosen to reinvest has been in store for payroll coverage. That's really been the only place that we've made a decision to reinvest right now.
Daniel Binder: If we’re looking at the retailers that have gone through major cost cutting programs over time, they will try and build structural competitive advantages that allow them to reinvest in things like price and I realize that you're saying the price point is competitive, but if the comps or sales don't really sort of move that far outside of that low single digit range, is there any reason that you wouldn't take some of those cost savings and just take that extra operating margin, take margins down a little bit, whether it's through absolute price reductions or promotions?
Melissa Reiff: Well, I mean we'll look and discuss any and everything. We just really feel like that our pricing is good and we are competitive and we’re utilizing tools to make sure that we are and the promotions, we're going to continue to do those strategically and thoughtfully and we're going to be smart and continue to be prudent about our cost savings and make sure that the morale stays as strong as possible in our company and that we're investing in the proper things, whether it's new stores or expanding custom closets in our stores or new products. We're looking at all of that.
Operator: Our next question comes from [indiscernible] from Barclays. Please go ahead.
Erin Reilly: Hi. This is Erin Reilly on for Matt. Good. I was wondering if you could touch on the e-commerce business a little bit, in terms of what you’re seeing for growth in trends and the impact you're seeing from switching to more digital marketing spend there?
Jodi Taylor: Erin, you may recall that we introduced free shipping at $75 in the spring of last year. So we've anticipated that until we cycle that introduction, because we had a 63% increase in our direct to customer ordering sales last year. So we cycle that, we’ve always expected that we were going to have more challenged growth in the direct to customer only part of our business. So if you look at the second quarter, we actually saw for website initiated sales, which includes somebody ordering online and either shipping directly to their home or coming and picking up in the store, we saw an increase of 1.7%. The direct to customer piece was actually down 7.7% and that's partially because we did some test and learn activities with around the quick and pick up area, trying to get people to come in store a bit more during the quarter versus just the direct to customer piece of the business, trying to look at it much more holistically. So we really did not start increasing our digital focus, except around TCS closets in the second quarter. So the dialing of digital spend in a more meaningful fashion is more of a second hand - second half move because that media mix model that Melissa referred to is something that we’ve really just concluded over the course of the last 30 or 45 days.
Operator: Thank you. This does conclude the question-and-answer portion. I’d now like to turn the floor back over to management for any closing comments.
Melissa Reiff: Thank you so much, Matt and thanks to you all again for joining the call today. We really enjoyed speaking with you and look forward to updating you on our progress and our results for the next quarter and I just want to take this opportunity to sincerely thank our great employees for their focused work this first half of our year and I wanted to extend my wishes, Jodi and I, to them and to all of you for a wonderful and absolutely organized holiday season. Thanks so much.
Operator: This concludes today’s teleconference. Thank you for your participation. You may disconnect your lines at this time.